Operator: Ladies and gentlemen, thank you for standing by, and welcome to the Entergy Corporation Fourth Quarter 2019 Earnings Release and Teleconference. [Operator Instructions].  I would now like to hand the conference over to your speaker, Mr. David Borde, Vice President of Investor Relations. Please go ahead.
David Borde: Good morning, and thank you for joining us. We will begin today with comments from Entergy's Chairman and CEO, Leo Denault; and then Drew Marsh, our CFO, will review results. [Operator Instructions]. In today's call, management will make certain forward-looking statements. Actual results could differ materially from these forward-looking statements due to a number of factors, which are set forth in our earnings release, our slide presentation and our SEC filings. Entergy does not assume any obligation to update these forward-looking statements.  Management will also discuss non-GAAP financial information. Reconciliations to the applicable GAAP measures are included in today's press release and slide presentation, both of which can be found on the Investor Relations section of our website.  And now I will turn the call over to Leo.
Leo Denault: Thank you, David, and good morning, everyone. Today, we are reporting strong results for another very successful year. Our adjusted earnings per share is $5.40, in the top half of the guidance range that we raised last quarter. Our financial results, combined with our operational achievements, once again show that we deliver on what we set out to do. Everything we accomplished in 2019 also reinforces our confidence in our continued success into the future.  This past year, we saw solid achievements in all aspects of our Utility business. In power generation, we placed into service 2 clean, efficient and modern CCGTs totaling 1,800 megawatts. In Louisiana, the St. Charles Power Station came online in May, affirming our track record of completing major generation projects on time and on budget and sometimes better. And a few months later, Entergy Mississippi purchased the Choctaw Generating Station. These resources are part of our portfolio transformation strategy to replace older generation with cleaner, more efficient assets. They improve system reliability, reduce costs for our customers and produce significantly fewer emissions, further advancing our sustainability goals.  Renewable energy is another key component of our portfolio transformation. We currently have close to 400 megawatts of renewable capacity that are in operation and nearly 2,000 megawatts of additional renewable projects in various stages of development. About half of those are specific projects that we've already discussed with you. The other half are potential new projects we are currently evaluating, and we will share more details with you at the right time. We are committed to providing our customers with renewable power options. And as technology and economics continue to improve, we expect to meet even more of our supply planning needs with renewables.  Also in generation, we recently commissioned a 7.4-megawatt battery at our Perryville Station in Louisiana. This is an innovative application of battery technology that will allow Entergy Louisiana to start a 150-megawatt combustion turbine without grid power, and it will support grid reliability and resiliency.  In 2019, we invested $1 billion in our transmission infrastructure. During the year, we completed several projects, including Phase 1 of the Western Region economic transmission project in Texas, the Southwest Louisiana improvement project and autotransformer projects in Little Rock and Central Mississippi. Our transmission investments benefit our system and our customers as they reduce congestion, enhance system reliability, efficiency and resiliency and support the economic development of our jurisdictions by enabling service to new customers.  In distribution, we are now 1/3 of the way through the installation of 3 million advanced meters across our service area. To complement this effort, we are investing in an improved digital platform to create a multichannel experience for our customers, a new outage and distribution management system, an enterprise asset and work management system and increased automation on our grid. This technology platform not only provides customer usage insights today, but also lays the foundation for advanced capabilities over time. And with billions of real-time data points available, we'll be able to glean new insights that will drive fundamental change in the way we serve our customers while they consume the least amount of energy resources.  Our customers' expectations are evolving, and we're preparing to meet them. Instead of simply providing an input, electricity or gas, we're thinking about the outcomes our customers need and desire from their power consumption. With new technologies and capabilities deployed, we'll be able to anticipate their needs and offer tailored solutions.  In 2019, we formed KeyString Labs, our innovation center, to engage with stakeholders and develop new solutions that address our customers' desired outcomes and make their lives better. For example, we've developed a backup generator offering for commercial and industrial customers called Power Through. We installed our first 1 megawatt generator at a grocery store in Texas, the resources available to the store in the event of a power outage and it's available to the utility at other times. Both parties share the cost, which makes it economic for everyone and mutually beneficial. Entergy Texas has already utilized this resource, providing cost-effective and efficient power back to the grid.  We also have line of sight on additional projects. In December, we received approval from the Mississippi Public Service Commission to deploy 20 generators in the state, and we are actively working with our regulatory teams to introduce Power Through across all our jurisdictions.  KeyString Labs is also working on solutions to expand beneficial electrification of sectors that currently use fossil fuels. This is an important pillar of our broader strategy to reduce societal carbon emissions beyond our own footprint. This is a practical and environmentally responsible way to help customers in other industries meet their sustainability goals by relying on Entergy's grid power instead of higher-emitting fossil fuels. We've recently launched a utility scale shore-power project that extends our distribution system to marine vessels in ports. Our first shore power project went into service just last month, which we estimate will achieve up to 42% net reduction in carbon emissions, a 48% net reduction in sulfur oxides and 98% reduction in nitrogen oxides. We believe we have significant opportunities to deploy shore power projects as we have 37 ports in our service area, 7 of which are among the 20 largest ports in the United States.  These are just some of the innovative projects we're working on across the organization, and we are excited about the opportunities that lie ahead. Customer solutions will be an important part of our business, and we will continue to explore opportunities to improve our customers' everyday lives through new technology, data analytics, innovation and creative solutions.  Over the last several years, we have built constructive relationships with our regulators that have enabled the development of progressive regulatory mechanisms across our jurisdictions. We have formula rate plans in 4 of our 5 jurisdictions: Arkansas, Louisiana, Mississippi and New Orleans. Entergy Arkansas and Entergy Louisiana will file this year to request renewal for their current FRPs. Entergy Texas has cost recovery factors for transmission and distribution investments. They also have a rider for AMI recovery. In 2019, new legislation directed the Public Utility Commission of Texas to establish a rider for generation investments. That rider is currently being developed through a rule-making process, which we expect to be finalized in the third quarter.  In New Orleans, the City Council approved a rate reduction that reflects a 9.35% ROE and caps Entergy New Orleans' equity at 50%. We have appealed that decision, and we continue to work with council members to reach a fair outcome. As a result of collaborative work with our regulators, 90% of our 3-year capital plan is expected to be recovered through timely, progressive regulatory mechanisms.  For the last several years, our strategy to manage risks has included the planned orderly exit from our Merchant business. This past year, we sold Vermont Yankee and Pilgrim. And with a final and sale agreement in place for Indian Point, we are well on our way to complete our EWC exit. Our leadership in sustainability and environmental stewardship has been a hallmark of who we are for nearly two decades, and it remains a key focus for us today. In 2019, we were named once again to the Dow Jones Sustainability North America Index. We are the only electric utility to receive this honor 18 years in a row, and we are very proud of this recognition, as DJSI is one of the most respected independent sustainability measures in the world. We earned perfect scores in the areas of climate strategy, corporate citizenship and philanthropy, policy influence, materiality, and water-related risks. This past year, we released our climate scenario analysis. We outlined our role in meeting the imperative to reduce risk posed by climate change. We announced a new greenhouse gas emissions goal to reduce our CO2 emissions rate to 50% below year 2000 levels by 2030.  I am proud to say that today, we are already one of the cleanest large-scale generation fleets in the country, according to the 2019 M.J. Bradley Benchmarking Air Emissions report. This independent third-party analysis confirms that of the top 20 privately or investor-owned power producers in the United States, Entergy has the fourth lowest CO2 emissions rate in the nation. In addition, we have limited coal resources, which produced only 6% of our 2019 energy mix. We have definitive plans to retire the majority of those resources by the end of 2030, and we are evaluating options for the rest. We've worked hard over the last 20 years to ensure that we are one of the cleanest utilities amongst our peers, and our renewed environmental commitments will ensure that we remain so for years to come. Beyond environmental efforts, Entergy has established a legacy of corporate citizenship. We make an impact in our communities through a combination of philanthropy and volunteerism and advocacy. We've earned national recognition for our efforts in improved education and workforce development, eradicate poverty and protect the environment.  Our people and our culture are critical to our success. Acquiring, retaining and developing the talent we need to meet today's business needs and to prepare for the workplace of tomorrow, are important components of our business strategy. We have received many workplace awards and recognition for diversity, employee resource groups and disability inclusion. I encourage you to visit the Sustainability and Corporate Social Responsibility sections of our website where we provide comprehensive information about our actions and strategies that create sustainable value for our stakeholders. The fundamentals that underlie our steady and predictable growth are strong. We have a robust earnings per share growth trajectory. We have among the lowest retail rates in the country. We have progressive regulatory mechanisms. The states we serve benefit from strong industrial growth and we are an industry leader in sustainability. Our solid base plan that we've laid out will upgrade the service level we provide to our customers while growing their bills at or below inflation, and that alone makes Entergy a compelling investment today.  But we want to do even better. With no shortage of customer-centric investment opportunities, we are making continuous improvement of core value at our company. We are working smarter and more efficiently to improve our business. These efforts will enable additional investments that will further elevate service and reliability without significantly affecting customers' bills. That is our objective, to allow our customers to achieve their most ambitious goals at the lowest possible cost. 2019 was a very successful year for our company, and Entergy is well positioned for continued value creation that benefits all our stakeholders. We are taking our business to the next level by executing on our customer-focused investment plan, investing in our people and our culture and maximizing growth opportunities through continuous improvement in innovation. We are excited by what lies ahead.  Before I turn it over to Drew, I'm happy to announce that we will host our Analyst Day conference in New York City on June 18. Our main objective will be to give you a view of our 5-year outlook, and we will continue the conversation on key areas of focus for our company. So stay tuned for more details.  I will now turn the call over to Drew, who will review our 2019 financial results, 2020 guidance and our outlooks.
Andrew Marsh: Thank you, Leo. Good morning, everyone. As Leo stated, we are reporting strong results for another very successful year. 2019 adjusted earnings per share were $5.40, in the top half of our guidance range that we raised last quarter. These results keep us firmly on track to achieve our longer-term growth aspirations.  I'll begin with a review of results for the fourth quarter and then move to the full year. I'll provide an overview of our guidance -- I'll also provide an overview of our guidance for 2020. Starting with the quarter on Slide 5. On a per share basis, Entergy adjusted earnings were $0.68, slightly below fourth quarter of 2018.  Turning to Utility on Slide 6. Rate actions in Arkansas, Louisiana, Mississippi and Texas contributed positively to the quarter's results. Regulatory charges and provisions recorded last year also contributed to the quarter-over-quarter variance. Lower retail sales volumes and higher operating expenses, primarily depreciation and O&M, partially offset the increase. The higher share count also affected this quarter's results on a per share basis. Moving to EWC on Slide 7. As-reported earnings were $1.08, approximately $3 higher than a year ago. This is largely the result of higher returns on decommissioning trust investments during the quarter, favorable tax items and lower asset write-offs and impairment charges.  On Slide 8, you can see that operating cash flow in the quarter was $699 million, $173 million higher than a year ago. The biggest driver was the lower amount of unprotected excess ADIT returned to customers. Another offsetting key driver was an incremental $200 million contribution to our pension trust, made possible by the strong cash flows in 2019.  Now turning to the full year on Slide 9. Entergy adjusted EPS for 2019 was $5.40, $0.11 higher than for 2018. These results exceeded the midpoint of both our original and our revised guidance ranges. Utility-adjusted EPS on Slide 10 was $6.95 in 2019, $0.07 higher than 2018. While the magnitudes are different, the drivers for the annual increase were the same as for the quarter I just reviewed.  Slide 11 summarizes EWC as-reported earnings, which were $0.74 for full year 2019. Gains on the decommissioning trust fund investments, lower asset write-offs and impairment charges and lower operating expenses were the main drivers. Partially offsetting this increase was lower revenue, primarily due to the shutdown and sale of Pilgrim. Full year operating cash flow, shown on Slide 12, was approximately $2.8 billion, $432 million higher than last year. The most significant driver was an approximately $300 million reduction in the unprotected excess ADIT returned to customers. 2019 results also benefited from increased collections for fuel and purchase power cost recovery at Utility, and lower revenues at EWC partially offset the increase.  Moving to Slide 13. Our 2020 adjusted EPS guidance range is $5.45 to $5.75 with a midpoint of $5.60. This and our 2021 and 2022 outlook ranges remain the same as our outlook at EEI. We continue to target a 5% to 7% annual growth rate for adjusted earnings per share. A few of the key drivers for 2020 earnings growth are summarized on Slide 14. Starting on the top line, a full year of 2019 rate activity at Entergy Louisiana and Entergy Mississippi will contribute to 2020's growth as well as Entergy Arkansas' new rates that were effective in January of this year. We will also make FRP filings in Mississippi, New Orleans and Louisiana, and we expect the Lake Charles Power Station to go into service during the second quarter, with rate recovery in the month following its in-service date.  Additionally, our project sales volume in 2020 is expected to increase year-over-year -- our projected sales volume in 2020 is expected to increase year-over-year, driven by strong industrial sales growth of approximately 5.5%. This is partly offset by slightly negative residential and commercial sales volume. We continue to expect volatility in industrial sales from quarter-to-quarter as new and expansion customers ramp up operations. Overall, we see about 2% positive sales growth for 2020. We project Utility O&M to be approximately $2.6 billion, in line with our previous disclosures and about $30 million higher than 2019. This is driven by pension expense and items offset in revenue, such as energy efficiency and storm reserves. Smaller amount is due to a full year of St. Charles and Choctaw as well as the Lake Charles Power Station coming online.  Depreciation and interest expense are also expected to increase as we expect -- as we continue to grow our business through productive investments to benefit our customers and our communities. On a per share basis, we expect our average share count to be 201 million shares as a result of settling the remainder of our equity forward mid-year 2019.  Finally, our cash and credit metrics as of the end of the year, as shown on Slide 15. Our parent debt to total debt is 21.6%, and our FFO to debt is 14.6%. This includes the effect of returning $300 million of unprotected excess ADIT to customers over the last 12 months. Excluding this give-back and certain items related to our exit of EWC, FFO to debt would have been 16.8%. While we still have some unprotected excess ADIT remaining, we have returned over $1 billion to our customers, and the bulk of the credit impact is now behind us. We remain committed to our credit targets, including at or above 15% for FFO to debt by 2020, and below 25% for parent debt to total debt as well as maintaining our investment-grade profile.  I'd also like to note that our finalized capital plan is in the appendix of our materials. Our capital plan through 2022 continues to grow and now totals nearly $12 billion, led by incremental transmission investment in Louisiana and Texas. The financing framework for our capital plan has not changed since 2018, and we don't see a need for equity until 2021. Now that we are in 2020, we are actively considering the timing and method to fill that need in a manner that best supports our financial goals.  As Leo mentioned, 2019 was a very successful year for our company. The fundamentals that support the steady predictable growth of our business are strong. And as we continue to optimize our efficiencies through continuous improvement, technology and innovation, we see an opportunity to take our business to the next level. We are excited about the growth ahead.  And now, the Entergy team is available to answer questions.
Operator: [Operator Instructions]. Our first question comes from Shar Pourezza with Guggenheim Partners.
Constantine Lednev: It's actually Constantine here for Shar. Congratulations on a great quarter.
Leo Denault: Thank you.
Constantine Lednev: You talked about some of these innovative capital deployment programs that kind of you're putting in place. And I just wanted to kind of get a little bit of an idea for how big do you see the opportunities for all of the electrification and kind of customer solutions. And how does that fit within the plan that was presented at EEI?
Leo Denault: As far as the plan, there's very little in there. We have added some dollars when we went through the process at the end of the second quarter where we had some continuous improvement opportunities, and then we put money back into the business for all of our stakeholders. There was some level of that from the KeyString Labs sort of initiatives, but there's very little in the plan really at this point for those opportunities.  It's a little early for us to start to size it up. As the year goes on and we start to develop more, we will. But our view is that at the end of the day, the distribution side of the business and these customer solutions will be the fastest-growing part of our business. Customer solutions could include all kinds of electrification. If you look at, for example, Louisiana, the industry is the second largest emitter of greenhouse gases, behind transportation with utilities, third, which is a little bit different than it is in the rest of the country given the nature and the size of the industrial complex in Louisiana. So across all of our footprint, we see a significant amount of opportunity in the electrification space, once we work beyond shore power and into manufacturing processes and even transportation sector.  So that could get significant over time as we go forward. And there's a lot of other things that they're going to be able to do in addition to what we've already done in solar, in addition to what we're already doing in backup generators. As I mentioned, while we put the footprint of AMI, EAM, customer digital and all of those other technological improvements that we do on the system, we get significant amounts of data that will allow KeyString Labs and the rest of the company to actually create products and services based on that. So it's too early to size what -- to size it up and give you any numbers. But if you go 5, 10 years down the road, we think that it's going to be pretty significant.
Constantine Lednev: Wonderful. Just one quick follow-up is on the numbers for kind of sales volume in 2019, seemed a little bit weaker and a little bit weak on the industrial sales and just the customer count. Can you comment on what you're seeing in terms of just economic activity? And kind of how does that play into '20 -- going into 2020?
Andrew Marsh: Sure. This is Drew. The fundamental strength that we have that are sort of built into our service area are still in place in terms of the low costs down here from an energy perspective, our low rates, the welcoming communities for industrial growth, the access to the river and the infrastructure and labor and everything else. So all those things are still in place. And so we continue to see an opportunity going forward that would allow us to continue to grow on the industrial base.  Talking about 2019 versus 2020. We've talked about over the course of 2019, how some of our key customers that we were expecting to ramp up were not able to ramp up as fast as we anticipated. But we still expect them to be there. And so that's contributing to kind of the year-over-year expectations for 2020 as well as on the smaller industrial customer size base.  There was quite a bit of rain in Arkansas, so a number of our customers in -- that normally do pumping for agricultural use on an industrial scale weren't there. But we expect them to be back in 2020, barring -- assuming a normal weather condition up in Arkansas. So that's really what's driving kind of the change year-over-year and kind of the softness in 2019. And I'll let Rod talk a little bit about sort of the -- where we actually see customers going forward.
Roderick West: I think we commented during the last quarter that our confidence in the outlook comes from the fact that our growth expectations stem from our ability to actually identify specific projects, and we know exactly who those customers are. Over the last several years, we've improved our capacity to engage those customers, giving us greater visibility and insight through various aspects of their project development cycle, from concept to financial investment decision. And so when we give you our outlook, it's a probability-weighted assessment of the timing of those projects coming online and the associated load and financial implications. So our outlooks are still strong, and we can tie our expectations in the near term to specific firms within different industrial segments.  So we still have clarity. Admittedly, they sometimes come in lumpy over the course of quarter-over-quarter. But our confidence is still high in the industrial outlooks driving our growth.
Operator: Our next question comes from Julien Dumoulin-Smith with Bank of America.
Julien Dumoulin-Smith: So perhaps to pick up on some of the commentary, Leo. Can you elaborate a little bit more on some of the customer-centric angles? And specifically, what I'm getting at is, I think some of your commissioners in Louisiana specifically have talked about some more direct access. And I don't mean direct access in the competitive sense, but more in terms of procurement choices. I'm just curious, should we expect something along the lines of green tariffs or something like that to sort of enable another angle here? I don't want to lead the witness too much, but I'm just curious on that angle.  And then separately, Leo, you also talked about the resource portfolio at large. From what I understand, I think there's a retirement study ongoing. And I just wanted to understand a little bit as to how that might play out more specifically in terms of dockets, and how we see sort of the planning process play more specifically out in the near -- medium term, rather.
Leo Denault: Okay. Well, let me try and keep up with that question or that series of questions. As far as the customer solutions area goes, it's wide-ranging across all of our customer segments. So we've done low-income rooftop solar in -- out of KeyString Labs. We've done backup generation for small industrial and commercial. At the utility level, we're engaging with our larger industrial customers across a variety of different ways to interact with them to help them do business better. We have been investigating green tariffs. We have been investigating community solar. We are looking at a whole host of other types of products and services that provide us the opportunity to give our customers the outcomes they desire.  If you think about a customer utility function, it goes beyond just -- and I don't mean electric utility, but from an economic standpoint, it goes beyond just the low-cost provision of highly reliable power. It goes beyond that in terms of what their objectives are in terms of what they want to do with that consumption. So if they have a sustainability objective, in addition to just selling them electricity, we want to help our customers with that sustainability objective. So hence, that's where you get into a position where you electrify a sector.  In the shore power arena, as I mentioned, just there, we help those customers meet their sustainability objectives and, quite honestly, a way that meets their needs at a lower cost. And so that's a very, very important way for us to serve the customer while we serve the communities, while we enhance our sustainability footprint in theirs and make them more competitive in their businesses.  So in terms of specifics, Julien, across that, products and services will be developed out of innovation by working with our customers in a different way than we have before, because technology, data, information, analytics allow us that capability in ways that weren't available. And the more technologies we put on the system, the more availability we'll have on that data and that information and our ability to actually make that happen.  So the reason we're so excited about it is, it's pretty wide-ranging in terms of what we're going to do for different segments of the residential class versus different segments of the commercial class versus different -- in specific customers in the industrial space. So that's about as specific as I really want to get at the moment on that.  As far as the resource plan goes, we're obviously constantly in the mode of evaluating what the resource plan looks like going forward in all of our jurisdictions. And as we see technologies change, our view of what those resources could be broadens. And so from the standpoint of, say, what type of technology choices we make, whether they be on the energy efficiency side, on the side of renewables, gas or what-have-you, we have the opportunity to expand that footprint. And as technology improves, and renewables and battery and other storage technologies become more economic and more operable, we'll see more of those show up in the system. And it's our anticipation that we will continue to provide 3 things for our customers through the resource plan. One is operability. When they turn on the lights, they come on. That's obviously a ticket to play. We continue to want to be one of the lowest-cost providers in the United States that helps our competitive position and it helps the economic development of the service territory, which obviously creates a good business cycle for us. And then we want to help ourselves, our communities and our customers meet their sustainability objectives. We're going to do all 3 of those, and we're going to optimize those to the extent practical. So that means taking advantage of all of the technologies out there in the most efficient way we can. I don't know if Rod wants to add anything to that, I hope.
Roderick West: Yes. I mean I would only add that in Louisiana, we'll be making filings with the commission relative to green tariff options that we want the commission to consider in response to some of the sustainability objectives of our industrial customers. But that's an ongoing conversation that falls right in line with the comments you just made, Leo.
Andrew Marsh: And we have a retirement study to do after the St. Charles project goes in service that will address some of the things that Leo was talking about.
Leo Denault: Forgot about that one.
Operator: Our next question comes from Praful Mehta with Citigroup.
Praful Mehta: So Leo, on the generation side, you had mentioned that you have opportunities for more generation projects going forward. Just wanted to understand, is that from load growth driven, or the 5%, 6% goal that you have currently that you plan to retire? What's kind of driving the new generation opportunities? And what kind of fuel mix are you looking for as you go forward in the new generation?
Leo Denault: The generation opportunities are similar to what we've discussed in the past. We still see a need to transform our fleet from the older, less efficient generation to new, cleaner, more efficient way to provide power. And our perspective on the mix hasn't changed from where we were at EEI that if we look 22 million to 30 million in that 7,000- to 8,000-megawatt range, and we think that based on where technology is going and what we could foresee that roughly half of that could be renewables.  The way we're going to fill that out is going to be specific to those 3 points that I made a minute ago, has to be the right operational characteristics at the right cost with the right sustainability footprint.  Our objective is to optimize that as much as possible. And so as we've discussed before, as we get closer to each one of those resource choices, to the extent renewables, storage, technologies and other factors have made those more operable and cost-effective, they become a bigger part of the resource mix. That doesn't change how much capacity we need because we need to provide the service we need to provide and the age of the fleet is what it is. And as I mentioned, we have plans for retirement of the majority of the coal resources that are out there, and we're looking at what to do with the others. So that, plus old gas fleet that still needs to be refreshed, all go into the mix.
Praful Mehta: Got it. Second question or a follow-up on the equity needs point. Drew, I think you mentioned or at least at EEI, you had a range of 5% to 10%. Now you're saying you're at the upper end of that, so closer to the 10%. Just wanted to understand what's driving that equity need going up a little bit. And is that a little bit of managing the credit as well? Just wanted to understand that driver.
Andrew Marsh: Sure, Praful. So I think that's probably in part, part of what it is. Nothing has changed relative to where we said in 2018 from our plan. And I think there is -- there's some credit considerations, there's our earnings considerations. All those are part of what we are working through. And also, the capital plan itself has grown over the -- has grown since EEI's, grew last summer, so it's been growing as well. And as Leo has been talking about, there is the potential for considerably more equity needs -- or capital needs out in the future. So I think all of those things are factoring into how we're thinking about where the equity might land when we go to fill that need in 2021.
Praful Mehta: Got it. And finally, any performance, the outperformance that you had in your decommissioning trust especially on Indian Point? I'm assuming that doesn't accrue to Entergy because that was part of like the deal that was struck in terms of the sale of Indian Point, correct?
Andrew Marsh: That's correct. So the trust fund at Indian Point is whole tax responsibility in terms of the level that it's at. And that will help be part of the NRC proceeding that is underway right now.
Operator: Our next question comes from Sophie Karp with KeyBanc Capital Markets.
Sophie Karp: Congrats on the quarter.
Andrew Marsh: Thank you, Sophie.
Sophie Karp: I just wanted to talk a little bit more about cash flows and balance sheet. Obviously, the OCF metric and the leverage metrics are improving, and that's very encouraging. Where might we see maybe a positive surprise there? Or where is the room for a change versus your -- what you're anticipating right now? Maybe it's a pension as it relates to performance of the pension assets. Or nearly maybe a surprise to load growth. Can you just walk us a little bit more sort of the puts and takes and what might affect the trajectory of the improvement here either way?
Andrew Marsh: Yes. So there's a couple of drivers out there that have been helpful in 2019. One was at EWC. Our cash flows came in a little bit better than we anticipated. The team there has done a great job managing costs and identifying ways to reduce capital needs as we transition towards shutting down those plants. So that's been very positive.  We had some very positive working capital developments in Utility, and we may see some more of that this year because of lower fuel prices. So that's been helpful. Of course, the performance of the pension trust has been good. But at the same time, interest rates have been coming down and raising the liability. And so we actually -- our liability went up about $1 billion from $7.4 billion to $8.4 billion last year, solely because of interest rates dropping over 100 basis points. Our delta between our assets and -- our assets went up as well. Our delta stayed about the same, around $2 billion year-over-year. So we weren't able to make up as much ground as we were hoping given the positive performance.  But we did -- we were able because of some of the positive cash flows, as I mentioned in my remarks, able to put some incremental cash into the pension trust, about $200 million more than we planned at the beginning of the year. We did that at the end of the year. So that will help continue to derisk that pension liability.  So those are kind of some of the drivers. And some of those is what I would expect to continue to be opportunities going forward in terms of the potential for lower fuel prices, helping our working capital and potentially some incremental room at EWC as well. And none of that takes into consideration some of the things that Leo was talking about around continuous improvement. If we can find incremental headroom through continuous improvement on our cash flows, then we can put that to work, either with incremental investments to benefit our customers or other investments to create value for all our stakeholders.
Sophie Karp: Got it. And the follow-up I have is on Indian Point. So we've seen the objection filings by the New York Attorney General. Can you just walk us through how these proceedings typically are going to go? And how much way would be afforded to a party like that, I guess, in this proceeding? Like should we be worried about this?
Andrew Marsh: Yes. So the questions that the New York Attorney General are asking are the same ones that we have addressed in the proceedings at the NRC for both Vermont Yankee and for Pilgrim, and namely there around the financial and technical capabilities of Holtec to, in this case, to do the work of decommissioning. And that's really -- that is what the NRC is addressing. That is there, what they're accountable for figuring out in the proceeding. And so I think that will be a good forum to address those questions. And we are confident -- I'll add, we're confident that Holtec will be able to answer those. They've already answered them successfully into other proceedings, one with us around Pilgrim, and then, of course, Oyster Creek.
Operator: Our next question comes from Greg Gordon with Evercore.
Gregory Gordon: I feel like you may have indirectly answered most of this. But when I look at the slide deck from EEI and just compared to the slide deck now as you refined your guidance, the -- in particular, O&M costs, I think we're only expected to be up $0.10, more or less at EEI. Now they're up $0.25. And I think that's in part due to a lower pension discount rate. You used 4% as a placeholder. And the last deck you're using just under 3.4% now. And I also -- you've pointed out that a lot of those increased costs are probably offset by increased revenues. So can you -- am I capturing all that? Or am I missing something?
Andrew Marsh: I think you're on the right track, Greg. It's true. The pension discount rate did come down lower than what we were anticipating when we were talking at EEI. And so that was -- of the incremental O&M, that was probably 40% of the delta. Also, there's another 40% is associated with things that are offset in the top line. Energy efficiency, storm reserve changes that at the bottom line will be a net 0. And then, of course, there are little -- there are a few odds and ends, but those dollars add up to something really small. So I think all in all, and actually, I would say, we're overall, we're in line with what we were expecting, $2.6 billion in Utility. And we've talked about trying to keep it flat at around $2.65 billion going forward is what we discussed last summer. So we've managed to work against all of those things that move the O&M up a little bit, but it's still within the expectations that we had overall.
Gregory Gordon: Yes, that's a good answer. And then as I compare the expected rate actions from the fall till now, it looks like on the margin, your -- maybe I missed it, but the DCRF and TCRF filing and the AMI riders filing, those weren't explicitly included in retail price actions in the fall deck and they're included now. So those are modest increase in regulatory activity versus the fall plan? Or were those always anticipated, but just maybe not called out explicitly?
Andrew Marsh: Yes. I think we were anticipating that we were going to do those things, but we hadn't explicitly called them out.
Gregory Gordon: Okay, great. And then in terms of the CapEx plan, obviously, it's up modestly through '22, but 2 gigawatts of potential incremental opportunities. I mean look, I'm just going to spitball at $1,000 a kilowatt. I mean is it right to think about that as long as you can -- most importantly, as long as you can sort of pencil out that those incremental capital expenditures drive customer benefits? Is that -- am I right that, that could be up to a $2 billion increase in CapEx? And over what time frame might that be?
Andrew Marsh: Absolutely. It's a big opportunity for us. We've talked about the capital plan is inching towards a $4 billion average. At this point, if we look beyond our capital horizon 2022, I would expect that it would be up above $4 billion. And all the things that you're talking about are going to be a piece of that opportunity.  That's on the generation side. I mean Leo was saying that the biggest opportunity is on the other end of the value chain, at the distribution end and the customer services, that's where the biggest growth opportunity, we think, will ultimately be. So there is significant capital opportunity out there for us. But the thing that you said is really what we are working through, which is how do we make sure that we can create value for our customers and really all of our stakeholders while we put this capital to work and do it in a way that allows our customers to manage this through their bills. And that's kind of the key to this whole thing and all the continuous improvement and the innovation, the new products and services, the leveraging of technology, creating headroom in those bills. That's what we're after. And we see opportunities for that in a significant way down the road.
Gregory Gordon: Hey, Leo, I've got a question for you that you're probably not going to want to answer, but I'll ask it anyway. There is -- with the opportunities you have in hand, just organically, it would seem to me that you guys control your own destiny. But you've always said that you've been open to better ideas about the strategic direction of the company. Is that just brain damage at this point because you've got so much opportunity organically? Or with the right -- what would the set of circumstances have to be for you to want to be distracted enough by a strategic offer to consider it?
Leo Denault: I think the criteria are the same. Certainly, we, as a management team and the board, are open to -- and I think you characterized it correctly, better ideas. So if there is a way to advance the ball beyond what we think we can do, the way we're configured today, we will investigate it.  In addition to it having to be something that does advance the ball, it has to be transactable both with the counterparty and through the regulatory process. Because there's no point going forward if you can't get along well enough to go through the process. And if you can't get the process completed, there's -- obviously, that's -- it doesn't matter how good the idea is, if it can't get done, it doesn't matter.  And then you did also bring up the third thing that we always discuss, and that's distraction is, in our industry, because of the way the process works, it takes 18 to 24 months to get something done. Are you distracted during that time frame from doing the things that got you to the point where we are today in such a way that if you don't get across the goal line or even if you do, you've lost so much ground that it doesn't make it worth it? If you can solve that puzzle, then our stance would continue to be that it is worthwhile.  We do have, in my opinion, the most attractive stand-alone plan that we've ever had for all 4 of our stakeholders. We have significant amount of opportunity to improve the level of service and the way we serve our customers. We have a significant opportunity to continue sustainability objectives and our community building across the environmental, the education, workforce training, eradication of poverty, space or anything to provide value for our communities. We continue to have an opportunity to expand our culture in a way that engages our employees the way they've never been before. And certainly, all of that results in the investment profile that grows the business for certainly, our shareholders.  So it's a pretty high bar in that first part about can you actually have a better idea that advances the ball enough to make it worth doing. That doesn't mean we don't look at it. It doesn't mean we wouldn't be open to it. It just means that I think now the bar is as high as it's been in that front.
Operator: Our next question comes from Michael Lapides with Goldman Sachs.
Michael Lapides: Real quickly, can you remind us what the stated retirement dates are for some of your coal units? I'm thinking larger ones like White Bluffs and then some of the smaller ones, independents, Nelson, et cetera.
Leo Denault: Yes. The Arkansas units, Michael, are part of that settlement that gets us to the -- by the end of 2030. Yes.
Michael Lapides: Okay. Is there a scenario where -- especially given the economics of coal versus gas versus solar, where you would fast forward or move up the retirement dates, which might create a little bit of a capacity need, but also may potentially create customer savings?
Leo Denault: I mentioned in my script that in addition to what we're doing, we were looking at what to do with the rest of the fleet. There is that kind of analysis going on, on a regular basis. We look at all of the resources we have and what's the right balance between spending the money required to keep them operating versus replacement. And so that's on the table. At this point in time, we haven't made that call.
Michael Lapides: Got it. My other question is on the nuclear side. And can you talk a little bit about the dispatch economics, all-in economics for your nuclear fleet in the southeast? And just how you're thinking about those plants and kind of where they sit economically on the dispatch. Or as we've seen in other parts of the country, both regulated and nonregulated, we've seen some nuclear retirements. And trying to just think about the -- is it even the nuclear units that we should be thinking about as fleet transformation over time?
Andrew Marsh: Michael, this is Drew. And so in regards of where it sits in the dispatch stack, is it's low, right? They have run days, run all the time. They have low variable costs. And so they are going to run all the time. We do know about the economics, and we've talked about that in the Northeast, obviously, with the shutdown of our EWC fleet. But there are many reasons why you might want to continue to operate your nuclear fleet that are very, very important from a quality perspective. And you can evaluate those more effectively in a utility setting than you can in a merchant power market where all that matters is that marginal electrons price.  So when you talk about -- and you see folks supporting nuclear plants in those unregulated power markets for these same reasons, right? You're talking about clean generation that supports the grid. It's always available. It diversifies the portfolio. It provides good tax base, so there's a lot of jobs and communities and a lot of active volunteering coming out of these plants that have a lot of employees. So there's a lot of policy reasons why you want to keep a nuclear plant around. But it's hard to evaluate those in a merchant setting. And you see people doing that already in Illinois and parts of New York and other places. You can do that more easily in a rate-regulated framework to evaluate those characteristics.
Michael Lapides: Understood. And then last question, where do you think you stand when you benchmark yourself on P&D costs, either on a per line mile or per customer or whatever you all think the most appropriate metric is? Kind of where do you think you stand versus the peer group? And how do you think about the path to kind of getting the top decile?
Leo Denault: Well, it's a tricky metric to be making broad generalizations about the peer group, because the peer group would have to be somebody whose service territory characteristics mirror ours. So there's a big difference between people who are in urban dense versus rural versus mountainous versus swampy versus all of any other things that make that up. It doesn't mean we don't do it. It doesn't mean we don't compare favorably in a lot of respects, but we need to go beyond just those benchmarks, Michael, and get into what can we do to continuously improve ourselves once we get outside of the plant level, because there's too many variables to just make broad generalizations. I wouldn't think, even if we are top decile, that we wouldn't be able to find ways to improve.
Operator: And our final question will come from Jonathan Arnold with Vertical Research.
Jonathan Arnold: Can you give us a little preview of what kinds of things we might expect you to do at the Analyst Day? I mean obviously, you've talked about a lot of evolving opportunities at the margin. But more specifically, do you think you'll roll forward your outlook to '23? Are you going to continue giving these multiyear outlooks? Is that the plan? But just a sense of what we should be practical opportunity.
Leo Denault: Yes. I think, Jonathan, as I mentioned in my remarks, we'll go out. Typically, the way the process has worked for us, we've historically done an Analyst Day every other year. And when we do it, we roll out kind of a 5-year look versus the every-odd-year roll-out, 3-year look, I guess. So I would anticipate that we would do that, obviously, give a little bit more ability to dive into what we're doing in terms of all the things that we've been talking about here, maybe turn, work hard on what those opportunities look like and what they might be and gives us a little more time to get into a little bit more detail that way. But I think kind of just more discussion around the opportunity set in front of us.  Again, I mentioned it in my prepared remarks, we have a pretty good base here with some of the lowest rates in the country, one of the cleanest fleets in the country, some of the only industrial growth in the country, some of the best regulatory mechanisms in the country. And no shortage of opportunities to invest on behalf of our customers to increase the level of service that they get, while we manage the bill path to be at or below the level of inflation. And so just looking at the outlooks that we provided you here, that's a -- and again, in my estimation, one of the best positions we've been in as a company. But that doesn't mean we are not looking for ways to do better because our team keeps coming up with more investment opportunities for us to make on behalf of our customers that could improve that level of service more, whether it's in the traditional things about sustainability and reliability or whether it's in some of these newer areas where we start to talk about customer solutions, where we're getting closer and closer and closer to providing them outcomes rather than just inputs.  So the idea of continuous improvement to provide the headroom that allows us to get there and improve things, I think, is a great challenge for us. And continuous improvement takes many forms, whether it's continuous improvement through RPA and utilization of our supply chain, shared service and IT functions to actually drive costs out of the business, while we upscale, actually, the level of performance or whether it's in economic development and new load growth that isn't in the plan today, that helps drive costs down for the rest of the customers. Or just the fact that gas prices continue to be lower than what we typically project them to be. If you look at the forward curve, you're out 4, 5 years, you're still at sub $2.50 gas and that's a great opportunity for us to benefit our customers.
Jonathan Arnold: Great. Well, keep up the great execution and look forward to hearing more about it in June.
Leo Denault: Thank you, Jonathan.
Operator: Ladies and gentlemen, that concludes our question-and-answer session. I would now like to turn the call back over to management for any further remarks.
David Borde: Thank you, Sherry, and thanks to everyone for participating this morning. Our annual report on Form 10-K is due to the SEC on March 2, and provides more details and disclosures about our financial statements. Events that occur prior to the date of our 10-K filing that provide additional evidence of conditions that existed at the date of the balance sheet would be reflected in our financial statements in accordance with generally accounted -- accepted accounting principles.  Also as a reminder, we maintain a web page as part of our -- of Entergy's Investor Relations website called Regulatory and Other Information, which provides key updates of regulatory proceedings and important milestones on our strategic execution. While some of this information may be considered material information, you should not rely exclusively on this page for all relevant company information. And this concludes our call. Thank you very much.
Operator: Ladies and gentlemen, this concludes today's conference call. Thank you for your participation. You may now disconnect.